Operator: Good afternoon, and welcome to Agiliti's Fourth Quarter and Full Year 2022 Earnings Conference Call. Today's call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I'd like to turn the conference over to Kate Kaiser, Senior Vice President of Corporate Communications and Investor Relations at Agiliti. Thank you. You may begin.
Kate Kaiser: Thank you, operator and hello, everyone. Thank you for joining us on today's call as we provide an overview of Agiliti's results for the quarter ending December 31, 2022. Before we begin, I'll remind you that during today's call, we'll be making statements that are forward-looking and consequently are subject to risks and uncertainties. Certain factors may affect us in the future, and could cause actual results to differ materially from those expressed in these forward looking statements. Specific risk factors are detailed in our press release, and in our most recent SEC filings, which can be found in the investor section of our corporate website at Agilitihealth.com. We'll also be referring to certain measures that are not calculated and presented in accordance with generally accepted accounting principles during this call. You can find a reconciliation of those measures to the most directly comparable GAAP measures, and a description of why we use these measures in our press release. To download a copy of the presentation that we'll use to facilitate today's discussion, please visit our website at Agilitihealth.com. Select the investor section at the top of the screen, and then events and presentations. Finally, select the presentation titled Agiliti Q4 and Full Year 2022 earnings slides. I'll turn the call over to our Tom Leonard.
Tom Leonard: Good afternoon. Thank you for joining us as we review our results from the fourth quarter of 2022 and reflect on our performance for the full year. Joining me today is our President Tom Boehning and our CFO Jim Pekarek. Beginning with a recap on our recent news. On January 9, I announced my plans to retire from the CEO role at Agiliti. I will continue to serve the company as a member of its Board of Directors. Tom Boehning will officially take the CEO position and join our Board of Directors on March 10. Tom has served right beside me since January 2020 as our president, leading our commercial organization, and is a key member of our leadership team. I've known him nearly 20 years both as a colleague and as a friend and have full confidence in his ability to lead our company. This transition is part of a thoughtful succession planning process that began shortly after Tom joined Agiliti three years ago. The Board of Directors and I are excited about our future and look forward to the company's continued progress under Tom's leadership. Today, I'll highlight a few headlines from 2022 and then turn the call to Tom and Jim. We delivered financial results that met our expectations for the fourth quarter and for the full year. We successfully flexed our operations to capitalize on the favorable tailwinds of COVID and realized the financial benefit from managing and deploying the HHS stockpile of medical devices. We recently secured the long term renewal of our HHS contract as part of a competitive process, continuing our strong track record of execution. And as we shared over the last few earnings calls, we have seen strong demand for our services as our customers resume focus on their long term priorities, resulting in some of the largest contracts in the company's history. Agiliti enters 2023 well-positioned to extend the momentum from 2022 and drive our performance in the years to come. We enjoy a strong backlog of signed contracts and a growing pipeline of new customer opportunities, all of which build on our durable base business. As we move to the first half of this year, we'll lap the prior year's benefits from COVID-19 and the HHS contract renewal and we expect our back half results to more clearly demonstrate the predictable, organic growth of our base business. As I conclude, my time as CEO of Agiliti I could not be more confident in our company or more proud of our teams. Agiliti has become a truly essential part of our nation's healthcare infrastructure. It's been my privilege to serve this company, its team members, customers and shareholders for the past eight years as its CEO. I look forward to supporting its continued progress under Tom Boehning's leadership. I'll now turn the call over to our new CEO, Tom Boehning.
Tom Boehning: Thanks, Tom. And hello, everyone. Thanks for joining us today. I'm honored to have the opportunity to be part of this leadership team, and I can't thank Tom enough for his partnership and guidance. After more than 25 years in healthcare, I can confidently say that there is no other company that can match our unique capabilities, exciting growth potential, or our important purpose. Since joining Agiliti three years ago, I've had the pleasure of working alongside our colleagues and our customers to deliver on our critical mission. Underlying Agiliti's results and reputation is the durability of its business model, the strength of its nationwide scale, and its dedication to quality and service. As CEO, I look forward to furthering our strong customer partnerships, empowering our incredible team, and delivering on our proven growth strategy to drive value for our shareholders. Turning now to our most recent results. We finished 2022 in line with both our expectations for the fourth quarter and our revised guidance ranges for the full year. Our performance demonstrates the underlying resilience of our model withstanding the transient impacts of COVID and the delays in time and material work associated with the HHS agreement, both of which caused a variance in our expected results as we move through the year. COVID related impacts in the HHS agreement have in fact been the primary transient drivers of variability in our reported results during our roughly two years as a public company. In the first quarter of 2022, they represented tailwind benefits to our reported results and in the second half of the year, we experienced short term headwinds related to the COVID impacted lower than expected utilization of our rental device fleet and the timing delays associated with the renewal of the HHS contract. We anticipate more stability in 2023. By the end of Q2, we will have lapped the prior year tailwinds. At the same time, we expect the underlying organic growth engine of the business to come more clearly into focus later this year, driven by our consistent new business momentum and steady customer demand for our connected solutions. I'll offer a few highlights before inviting Jim to provide the detail on our results. Beginning with some recent news. On December 14, Agiliti was awarded a long anticipated new agreement with the U.S. Department of Health and Human Services, or HHS. Under this current award, Agiliti will continue to manage the inventory, distribution and retrieval of ventilators and powered air purifying respirator systems within the strategic national stockpile and continue overseeing the ongoing preventive maintenance and management services to ensure these critical emergency medical devices ready for use. The contract performance period begins on August 28, 2023 and is valued at up to nearly $500 million over a term of four and a half years. Concurrent with this long-term award, Agiliti received a six month extension to its current one year contract, which was previously scheduled to expire on February 27, 2023, thereby bridging the term between these two contracts to span a total of five years. Since 2020, Agiliti has operated under a series of short term contracts with HHS that were designed to meet emergency response needs throughout the pandemic. As expected and important to note, the new multi-year contract covers work related to the need for ongoing management, maintenance and deployment activities in a normalized post COVID era. The scope and economics align with the expectations we've outlined to-date, and Jim will provide more color on how this factors into our 2023 guidance. We're pleased to have once again earned this important contract and look forward to continuing to deliver value to HHS for the next five years. More broadly, across the business, we continue to see positive organic growth momentum driven by our selling organization who are dedicated to helping uncover and solve for the needs of our customers. We recently had the opportunity to hear directly from several of our larger customers as part of our annual commercial kickoff event, where we bring together our sales and operations teams for a week of focused training and preparation for the year ahead. We were reminded of the many challenges healthcare providers are facing as the industry emerges from the pandemic. In some cases, their primary near term goal is to simply get back to financial breakeven. The continued uncertainty surrounding the financial and operational environment is causing healthcare executives to seek partnerships with vendors who can help to meaningfully reduce costs while enabling better patient care. Agiliti remains uniquely positioned to help them accomplish both. In the last few years, we've worked to elevate our value proposition, broaden our solutions portfolio, and train our teams for these higher level customer engagements. That work has resulted in a strong pipeline of sizable new business opportunities. In just the last few quarters, we have signed more seven and eight figure annual value contracts than ever before in our company's 80 plus year history. The result has been a solid backlog of sizable new opportunities for Agiliti. This positive evolution toward more system wide and IDN level engagements is a testament to the essential nature of our work and the value we've long provided to our customers. As we previously mentioned, these larger deals require somewhat longer and more complex implementations as we embed ourselves deeply into our customers' operations to unlock value in their medical device value chain. As we shared last quarter, we expect that this growth trend will yield some near term lumpiness in our financial results for the first half of the year. As we enter the back half of 2023, we expect these multiyear contracts will once again support a highly visible and predictable financial outlook more typical of our long history as a company. With our sights set squarely in the future, I'd like to reiterate a point we've long made around the extraordinary resilience and predictability of our business model. As you look across our offerings you can observe our connection to every phase of our customers' medical device life cycle, as well as the balance of our business between the medical and procedural sides of a health system's operations. Regardless of the macro trends facing our health system as a whole or specific situations or challenges affecting an individual customer, there are parts of our solution set that are always in demand. We are proud of the work of our teams and of the important role that Agiliti has long performed in support of our nation's health care delivery system. Looking forward, we're even more enthusiastic about the momentum in our business and the opportunities ahead of us. For now, our teams remain focused on disciplined execution of our strategy and on fostering strong collaborative partnerships with our customers as we pursue our goals in 2023 and beyond. I'll now pass the call to Jim for detail on our financial results and initial guidance for 2023.
Jim Pekarek: Thank you, Tom. I'll start with an overview of our Q4 and full year 2022 financials and then end with some comments on our 2023 financial guidance. For the fourth quarter total company revenue totaled $282 million representing a 3% decrease over the prior year. Excluding the favorable impact from COVID in the prior year, which was estimated at $12 million to $15 million, revenue in Q4 2022 increased 2% over the prior year. Adjusted EBITDA totaled $71 million, a 16% decrease compared to Q4 last year, and adjusted EBITDA margins totaled 25.3%. Adjusted EBITDA margins versus the prior year were affected by the revised scope of the new HHS contract renewal, as well as lower medical device rental utilization in the quarter. Adjusted earnings per share of $0.18 in the quarter compares to $0.25 in the year ago period, driven by both a decline in the adjusted net income and an increase in the effective interest rate on our debt, which amounted to $0.03 per share in the quarter. For the full year, total company revenue totaled $1.12 billion representing an 8% increase over the prior year. Excluding the net favorable impact of COVID in 2021 versus 2022, revenue increased approximately 11% for the full year. Adjusted EBITDA totaled $297 million representing a 10% decrease over the prior year. Adjusted EBITDA margins were 26.5% for 2022, down 500 basis points from last year. Lower COVID driven medical device rental utilization versus the prior year and the transition of our HHS contract to a post pandemic maintenance focus were key drivers for the decline. In addition, adjusted EBITDA margins were negatively impacted by the onboarding of a higher proportion of larger customer contracts, which tend to have a lower upfront profitability during the implementation phase. Our operating performance drove an adjusted earnings per share of $0.85 per share down $0.14 per share, with higher interest expense impacting our results by $0.05 per share for the year. Taking a closer look at the fourth quarter across each of our service lines equipment solutions revenue totaled $107 million down 11% year-over-year. The decline was primarily attributable to lower customer utilization of our peak need rental medical equipment fleet in the quarter. A reminder that when comparing year-over-year performance for Q4 in the prior year period, we estimated a favorable impact from COVID driven device demand of approximately $12 million to $15 million, which primarily impacted equipment solutions. Excluding the prior year excess COVID impact equipment solutions was up approximately 2% in Q4, 2022. Moving to clinical engineering. Q4 revenue was $110 million representing a year-over-year increase of 14% for the quarter. New customer organic growth was the primary driver for the increase versus the prior year as we continue to advance our solutions, including within our surgical equipment repair portions of the business. Finally, onsite managed services revenue totaled $65 million, representing a year-over-year decline of 13% for the quarter. This was primarily driven by the renewal pricing and scope of our HHS agreement as the agreement reset to the longer term pricing model for managing the stockpile devices. Continuing down the P&L. Gross margin dollars for Q4 totaled $108 million a decrease of 12% year-over-year. Our gross margin rate was 38% compared to 42% in the prior year period. The decline in margin rate was volume driven, primarily due to lower medical device rental placements, as well as the factors related to the HHS agreement as previously described. SG&A cost for Q4 totaled $85 million, a decline of $10 million year-over-year. The decrease was primarily due to lower employee incentive costs versus the prior year. Moving to the balance sheet. We closed Q4 with net debt of $1.9 billion. Our cash flow from operations for the year was $200 million, driven by strong operating results. Late in Q4, we invested approximately $60 million in two tuck in acquisitions. These investments added to our local capabilities and footprint in select markets within the surgical equipment repair and surgical rental portions of our business. These two smaller transactions in Q4 were financed through a combination of cash on hand and our revolving credit facility. Our reported leverage ratio at the end of Q4 approximated 3.7 times excluding the impact of the late Q4 acquisitions and the associated $60 million in purchase price paid for the businesses, our leverage ratio would have approximated 3.5 times as of December 2022. For the year, we have utilized cash on hand to retire over $120 million in debt obligations. Looking forward, we will remain diligent in determining the optimal uses of our strong cash generation. Agiliti maintains a position of solid liquidity with $221 million available as of December 2022. A reminder in the terms of our debt, given the macro view on near term interest rates of our $1.09 billion in debt, we maintain an interest rate swap agreement on $500 million, which is swap floating rate terms for fixed rate terms. This provides a partial hedge for any anticipated market rate increases in the short term and will expire in June 2023. We will continue to evaluate the interest rate environment and our capital structure and ensure we are well-positioned to support the future growth of the business. Turning now to our 2023 financial guidance. As a reminder, we provide guidance for key performance metrics on a full year basis. Our 2023 revenue guidance is in the range of $1.16 billion to $1.19 billion, representing top line growth of 4% to 6%. Our adjusted EBITDA guidance is in the range of $295 million to $305 million. And our implied full year adjusted EBITDA margins, which can be calculated from our 2023 guidance are expected to be in the range of 25% to 26%. As described, our net cash CapEx guidance reflects our expected investment in the range of $85 million to $95 million. Finally, adjusted earnings per share guidance is in the range of $0.65 to $0.70 per share. We estimate the negative impact of higher interest expense to be in the range of $0.15 to $0.20 per share. From a qualitative perspective and as we have shared in each of our earnings calls in 2023, our financial results will be comping against a favorable $5.7 million impact of COVID in Q1, 2022. In addition, as we shared in our prior earnings calls as of Q2 last year, we saw lower than expected utilization of our equipment rental fleet leveling out below 2019 pre-pandemic levels. Our 2023 guidance assumes placements will continue at this new baseline level and that we will continue to benefit from normal seasonality throughout 2023. Additionally, and as Tom described earlier, on December 14, 2022, we were awarded a new multiyear contract with HHS. Our guidance reflects a $13 million to $15 million year-over-year reduction on adjusted EBITDA as the contract resets to pre-pandemic pricing models. Overall, excluding the onetime impact described above and contributions from M&A our guidance implies low to mid single digit organic revenue growth in 2023, which is weighted toward the second half of the year as we continue to onboard new business. I'll now turn the call over to our operator to provide instructions for our Q&A.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions] Our first question is from Kevin Fischbeck with Bank of America. Please proceed with your question. 
Kevin Fischbeck: Great, thanks. Maybe just to pick up on that last comment about the guidance. Assuming low to single digit organic growth in '23, is there a number that is, like, COVID adjusted? Do you feel like that number would be higher ex-COVID or is that like a decent way to think about the organic growth?
Tom Leonard: Yes, Kevin, thanks for the question. Yes, that's a decent way to think about the organic growth Kevin.
Kevin Fischbeck: Okay, great. And then as far as these new contracts, it sounds like that's an increasingly bigger part of the story. Do you think that I know that there's onboarding costs at the beginning of these contracts, but once they're up and running, are these contracts likely to be the same type of margin or since you're going bigger and deeper within these companies, they're asking for a little bit more of the savings flowing through to them. I just want to figure out there's any margin implications of a bigger contract. Thanks.
Tom Leonard: Yes, Kevin, good question. You should be thinking about it in line with our overall EBITDA margins.
Kevin Fischbeck: Great.
Tom Leonard: You got it, Kevin. Thanks for the questions.
Operator: Thank you. Our next question is from Matt Mishan with KeyBanc Capital Markets. Please proceed with your question.
Unidentified Analyst: Hey, guys, how's it going? This is Brett [indiscernible] for Matt today and thanks for taking the questions. I think you walk through some of the moving pieces impacting the year-over-year comparisons in '23 versus '22 in a little bit of a piece meal basis. Just wondering if you could specifically quantify what you're expecting to see from the inorganic benefit around M&A and then the full year headwind around the lower equipment rental utilization as well as lower revenue from the HHS contract on a full year basis.
Jim Pekarek: Thanks for the question, Brent. I would quantify it this way. I guess, first of all, on the M&A piece, it's clearly immaterial from our overall financial statements. They're small deals and tuck-ins. The most important piece is that, and I referenced this on the call that they're in the space that we're already seeing good, strong growth in. But in terms of the math, I would share this think about the EBITDA from these tuck-ins as a mid single digit EBITDA. I would leave it at that for you. In terms of the other elements that you asked about, we described last year that the COVID benefit for us in Q1 was in the $ 5 million to $7 million range. The other thing that we described as we entered into Q2 and for the balance of the year is that re baselining of COVID below 2019 levels was in the $20 million to $30 million range. But again, that started towards Q2. So that would also get factored into the math that you're trying to derive. We don't describe the actual HHS impact from a top line perspective. You should be thinking about that consistent with what we've previously shared in terms of guidance overall, and I'll leave it at that.
Unidentified Analyst: All right, excellent. That's helpful. And then just turning back to the conversation around M&A and capital allocation, can you just give a little bit more color on what these tuck ins bring to the table strategically, how they add to your current momentum, and then just how you're thinking about additional bolt on deals and capital allocation priorities for the rest of 2023. Thank you.
Tom Boehning: Yes. Thanks, Brett. It's Tom Boehning. As you know, we look at M&A to augment our strong organic growth profile, and these tuck-in acquisitions did just that. We always retain a strong pipeline of acquisitions that complement our overlap and extend strategy of our current offerings. So we certainly have identified and keep pipeline of some tuck-in acquisitions that we'll consider over the course of 2023 and of course always have our eye out for more substantial acquisitions for the company, but all are intended to help complement the great organic growth of the business.
Unidentified Analyst: All right, thank you. 
Tom Leonard: Thanks, Brett.
Tom Boehning: Thank you, Brett.
Operator: [Operator Instructions] Our next question is from Jason Cassorla with Citigroup. Please proceed with your question.
Jason Cassorla: Great, thanks. Good afternoon, everyone. It just looks like the clinical engineering segment drove the top line outperformance in the quarter. You flagged an increase in customer growth. Was that originally contemplated in guidance? As revenue is decently ahead of from where you're trending for most of the year and then thinking about ‘23 should we consider kind of clinical engineering in that high single digit kind of growth rate in the back half of the year? Or how should we think about the puts and takes for that segment's growth in 2023?
Tom Leonard: Yes, thanks for the question, Jason. What I would share is this obviously we don't guide to the individual solution in terms of revenue growth, but what I would share is that the math for 2022 was consistent with what we had guided to overall. So it was consistent. The way to think about 2023 is the way we've described it historically in terms of the growth. Just look at the growth profile within clinical engineering historically and that would be a good representation without breaking out any of the details Jason.
Unidentified Analyst: Okay, got it. And then maybe just wanted to ask about just the embedded cash flow within guidance. You did about $200 million operating cash flow in '22 and about $300 million of EBITDA. Should we think about a similar level of cash generation for '23 at the midpoint of guidance? Or are there onetime items we should be thinking about on cash flow perhaps higher interest costs and the like? Just flushing out the operating cash flow dynamic for 2023 would be helpful.
Tom Leonard: Yes, no worries. A couple of big chunks to think about for 2023 as it relates to the modeling of the cash flow is the interest that I had referenced in the script. If you think about it year-over-year it would be fair to say that the interest rates that are reflected as we model into 2023 are consistent with the Fed rates and coming off of the swaps. You can think about it in terms of call it a 300 to 350 basis point-ish increase in overall interest costs on our debt. And then the second piece to think about is taxes. We've shared this previously, but. As we continue to utilize our NOLs, we really have very little in terms of NOLs to utilize in 2023. And so the overall cash taxes will go up a bit. That's the other thing to think about for 2023.
Unidentified Analyst: Okay. Thank you.
Tom Leonard: You got it Jason.
Operator: Thank you. Our next question is from Kevin Caliendo with UBS. Please proceed with your question.
Kevin Caliendo: Thanks. If I'm doing the math right, the guidance at the midpoint, it does assume a margin step down about 100 basis points. So I'm just trying to understand what the driver of that is. Should we think about it as your mix? Is it a cost of business? I'm just talking about the EBITDA margin. What are the drivers of that, or how should we think about it?
Tom Leonard: Yes, thanks for the question. I had shared in the script that the impact from the HHS renewal was in the $13 million to $15 million range from a profitability perspective. So that certainly had an impact. And there's, I would say less of an impact, but an impact from mix as well. Obviously, we have to get on the other side of COVID. I had pointed out in the earlier part of the Q&A the benefit that we obtained in the first quarter order of 2022, which was in the 5 million to 7 million range, as well as this re-baselining.
Kevin Caliendo: Okay. And just --
Speaker: To complete the thought, we've shared this previously in our dialogues, but it's important to understand that not only does that have a top line impact, but it has a high flow through, thus impacting our EBITDA margins.
Kevin Caliendo: And just given the leverage at the end of the year and the free cash flow, I guess my question is use of cash should we assume that the free cash flow generation for the year would be used to pay down debt? Would you self fund acquisitions? Are you in a position where you would want to take on any additional leverage to do anything? Just want to think about how you're thinking about that. And should we assume that the free cash flow ratio to operating cash flow remains roughly the same as well?
Tom Leonard: Yes. The most important call out I would make there is that as we've shared previously, we target our leverage in the low to mid threes. We've shared that with M&A. It can go up as high as four. But the way to think about this is we've made these acquisitions at the end of Q4. And what we've shared in terms of the back half being better than the front half, what you should expect is that we should be towards the back half starting to delever. That would be the way to think about it. Back more towards the guidance that we've shared around that load of mid threes overall. In terms of capital allocation, we'll be thoughtful around capital allocation, as we all always are, either paying down debt or reinvesting it in the business or considering other uses for it Kevin.
Kevin Caliendo: And the CapEx cost, we should just assume. Is there anything in 2022 or in 2023 that you would call out to be abnormal versus what you would think about is your normal spend?
Tom Leonard: No, not at all.
Kevin Caliendo: Okay.
Tom Leonard: Yes. Not at all. Kevin.
Kevin Caliendo: Thank you.
Tom Leonard: You got it.
Operator: Thank you. Our next question is from Drew Ranieri with Morgan Stanley. Please proceed with your question.
Drew Ranieri: Hi, Tom and Jim. Thanks for taking the questions. Maybe just to start, I just want to make sure I'm doing my math right here, but we should be thinking about low to mid single digit organic growth is the right way to think about the business from here. The acquisitions for the year might add 150 basis points to growth plus or minus and then the acquisitions are adding about $5 million in EBITDA. Is that kind of the right messaging today?
Tom Leonard: Yes. I think directionally that's right, Drew.
Drew Ranieri: Okay, thank you. And maybe just on the margin side, just maybe help us better understand what the margin expansion story is from here in 2023 seems like a bit of a transition year off of COVID, off of some of the rebates utilization. But just how should we be thinking about margin expansion opportunities for the company looking ahead? Thanks for taking the questions.
Tom Leonard: Yes. Good question Drew. The key for us always is volume growth. Volume is our friend. It helps us tremendously with leveraging our fixed cost infrastructure. And so that's key as we enter the back half of this year going into 2024. Obviously, we're not going to provide guidance on 2024, but that is the key for us as we continue to expand the organic growth top line going into 2024.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the floor back over to Tom Boehning for any closing comments.
Tom Boehning: Thanks, operator. And as we wrap today's call, I'd like to reiterate my confidence in our strong underlying growth momentum. I'm sure many companies like to put 2022 in their view mirror, but despite that headwinds we faced last year, our teams continue to deliver value to our customers and expand our potential for future growth. I'm very enthusiastic about our outlook for 2023 and look forward to keeping you updated on our progress. So with that, we'll close today's call. Thank you all very much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.